Operator: Welcome to the FactSet Research Systems first quarter fiscal 2009 quarterly earnings conference call. At this time all participants are in a listen-only mode. (Operator Instructions) Today’s conference is being recorded. If you have any objections, you may disconnect at this time. Now I’d like to turn the call over to Peter Walsh, Chief Financial Officer.
Peter G. Walsh: Welcome to FactSet’s fiscal 2009 first quarter earnings conference call. Joining me on this call are Phil Hadley, Chairman and CEO, Mike DiChristina, President and Chief Operating Officer, Mike Frankenfield, Director of the US Investment Management Services, and Kieran Kennedy, head of Investment Banking. This conference call is being transcribed in real time by FactSet’s call street service and is being broadcast live via the Internet at www.factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management’s current expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet’s business and financial results are in FactSet’s filings with the SEC. Lastly, FactSet undertakes no obligation to publicly update any forward-looking statements as a result of new information, future events or otherwise. Our call today will cover three topics. First, we’ll review first quarter results. Second, I’ll move to guidance for the upcoming second quarter. Third, we’ll close with our management team addressing your questions. Before I talk about results I’d like to take a moment to highlight two items. One. Included in this quarter’s EPS was an income tax benefit of $1.4 million which increased earnings by $0.03 per share. This income tax benefit resulted from re-enactment of the US Federal R&D credit in October 2008 retroactive to January 1, 2008. Two. This was the first full quarter of operations for FactSet Fundamentals. FactSet Fundamentals increased revenues by $800,000 and reduced earnings by $0.03 per share. Now let’s move on to first quarter results. If there is a theme to our call today, it’s earnings. Our earnings results in the first quarter were outstanding and clearly demonstrate the strength of FactSet’s business model. In an ailing economy many companies are unfortunately reporting weak earnings. In contrast FactSet reported year-over-year EPS growth of 26% even with the $0.03 dilution from FactSet Fundamentals. We’re not immune to the challenges facing the economy today. The bleak economic news certainly worked against us and dampened our quarterly ASV growth and other metrics such as clients and users. Nevertheless we continue to make investments in people while other companies are reducing staff. We’re able to accomplish this continued growth because the key strength of our subscription business model is that it provides great earnings visibility. Our employees remain heads down focused on increasing our market share by deepening the engagement level of our users. We believe that putting the client first is the only reliable way to create lasting value for shareholders. Let’s begin the highlights of the quarter with free cash flow. Free cash flow captures all the balance sheet and P&L movement. As a reminder, we define free cash flow as cash generated from operations which include the cash costs for taxes and changes in working capital less capitals pending. Free cash flow generated during the first quarter was $30 million, more than two times our previous Q1 high. The increase was caused by higher levels of net income and noncash expenses and an improvement in working capital. As I mentioned in our last call, please factor into your free cash flow analysis that FactSet pays variable employee compensation related to the previous fiscal year in the first quarter. This cash outflow reduced working capital by $32 million. In addition please recall that FactSet also remits estimated tax payments for the first half of the year during Q2. In December we paid $14 million representing our estimated tax payment for the just-completed first quarter. The timing of estimated tax payments is consistent with prior years. Nevertheless it distorts free cash flow in both the first and second quarters. Our accounts receivable decreased 5% in the quarter which was full of economic turmoil. This affirms to me that our employees create highly valued products and deliver superlative service. Over the last 12 months receivables have increased 13% while revenues have been 16% over the comparable period. At November 30 our DSO stands at an impressive 42 days. We do expect receivables to increase during Q2. As we did last year, FactSet invoices a small portion of its clients annually in advance. When the annual invoices are circulated we expect that accounts receivable and deferred revenues will increase by $13 million. Our ending cash and investment balance was $124 million, a decrease of $19 million since August 31. The source of the decrease was the previously mentioned variable compensation payments and share repurchases. Our cash is invested in US Treasuries and government agent securities. During Q1 we invested $42 million to repurchase 1 million shares of common stock and paid a quarterly dividend of $9 million. Currently there is $63 million in remaining stock repurchase authorization and shares outstanding at quarter end were $47 million. Capital expenditures were $9 million net of landlord contributions for construction. Expenditures for computer equipment were $5 million and the remainder covered office space expansion. To wrap up on our current financial position, I wanted to cover a very relevant topic: Liquidity and the health of the company’s balance sheet. We believe that FactSet is in an enviable position and here’s why. We have $124 million of cash on hand and no long-term debt. During the last 12 months the company generated $138 million of free cash flow. FactSet’s near-term future results are therefore also not likely susceptible to sharp increases in the company’s cost of capital. The company’s strong financial position provides a high degree of financial flexibility to fund both its operations and capital allocation process. Having no debt is a luxury today. In this current environment our balance sheet strength is more important than ever. The best capitalized companies will more likely be able to take advantage of opportunities to improve their market share and competitive position. Now moving to the P&L. Revenue was $156 million, up 16% versus a year ago. Let’s take a look at the revenue drivers. ASV increased $7 million when excluding currency during the first quarter. Including foreign exchange ASV increased $5.2 million during the quarter. Excluding acquisitions and currency ASV grew 15% organically or $78 million over the last year. As a reminder, we define ASV as of forward-looking revenues for the next 12 months from all annual subscription services currently being supplied to our clients. ASV was $620 million at November 30. We believe changes from Lehman, AIG and Washington Mutual are now factored in. The merger of Merrill Lynch and B of A is scheduled to close during our second quarter. We believe the exposure is significantly less than 1% of ASV. At quarter end 79% of the ASV is derived from buy-side firms and the remainder is from sell-side firms who perform M&A advisory work and equity research. We have great diversity among our clients. Our largest client accounts for less than 3% of ASV and the Top 10 comprise 17% of the total. Now let’s walk through our key operating metrics and trends we see happening at our client base. We exited the quarter with 40,200 users, a positive change of 100 during the past three months. Client count was 2,079 at quarter end down six from August 31. The number of client cancels was consistent with recent quarters; however client adds in Q1 were 43% lower than the average over the last four quarters. This fact indicates to us the catalyst for decline in the net client count was that the turbulent economy negatively affected the probability of closing large purchase opportunities and caused a reduction in new firm creation. Many are predicting that today’s marketing conditions will result in a reduction in the number of hedge funds. The contribution from hedge funds to our ASV is 6%. FactSet’s business is very underweighted among hedge funds. In terms of clients we service fewer than 10% of the number of hedge funds in the industry. Real time news and quotes via the FactSet work station and portfolio analytics continue to be a source of growth. Users of real time news and quotes increased 50% over the last year. This increase is significant because news and quotes are often used every day depending a user’s engagement level of FactSet. Moreover, it’s central to our strategy to consolidate services and save clients money. We view the user growth of real time news and quotes as evidence that our consolidation strategy works. The portfolio analysis work station is the largest revenue contributing member of the portfolio analytics product suite. At November there were 649 clients representing approximate 5,867 users who subscribe to this service. Now taking a look at geographic performance, our US business produced revenues of $106 million up 13%. On the international front revenues increased 22% to $49 million. On a constant currency basis the increase remained at 22%. Quarterly revenues from Europe were $39 million up 21%. Revenues from our Pacific Rim operations advanced 29% to $10 million. ASV from non-USA based clients was $199 million or 32% of the company-wide total. Client retention continued to remain above 95%, once again confirming the breadth and depth of a product suite that’s deployed by a stellar client base. Moving to expenses for the quarter, operating expenses were $104 million. Q1 operating margins were a healthy 33%. The US dollar strengthened during the first quarter of fiscal 2009 reducing FactSet’s overall expense base. Since 96% of the company’s revenues are billed in US dollars this improved operating income by $2.1 million and the operating margin by 1.3%. Offsetting currency was FactSet Fundamentals. Operating income declined $2.7 million from FactSet Fundamentals which depressed margins by 2%. Cost of sales as a percentage of revenues was up 80 basis points over prior year. Higher data costs and amortization of intangibles were partially negated by a decrease in compensation. The increase in data costs and amortization was driven by the first full quarter of operations for FactSet Fundamentals. Lower compensation was driven by favorable currency rates when expressed in US dollars. SG&A expenses expressed as a percentage of revenues declined 210 basis points year-over-year. This decrease was driven by lower compensation costs in C&E. Lower compensation costs were caused by the stronger US dollar especially against the Euro and British pound. C&E was lower due to a decrease in the cost per trip and a judicious approach to FactSet interoffice travel. FactSet’s headcount was 2,054 up 120 employees during the quarter. Excluding FactSet Fundamentals the quarterly increase in employees was 40 or 2%. Our effective tax rate for the quarter was 31.5%. This rate can be broken down into 34.2% from underlying operations and a 2.7% benefit from re-enactment of the R&D tax credit retroactive to January 2008. Net income was $36 million up 21%. Return on capital increased to 30%. This measure has shown continuous improvement rising 2% over the last year and 5% since November 2006. EPS advanced 26% year-over-year to $0.73 per share. Included in EPS was a $0.03 benefit from both the R&D tax credit and from foreign currency and a $0.02 per share benefit from lower weighted average shares outstanding. Partially offsetting these benefits was a $0.03 reduction in EPS from FactSet Fundamentals. Let’s move to our outlook for the second quarter of fiscal 2009. The projected revenue range for Q2 is $156 million to $159 million. Operating margins are expected to range between 31.5% and 33%. This guidance includes FactSet Fundamentals and represents an increase of 1.5% compared to our guidance three months ago. The effective tax rate is expected to range between 33.6% and 34.2%. The midpoint of this range represents a reduction in our tax rate guidance of 30 basis points. EPS dilution from FactSet Fundamentals should be $0.04 per share. The primary expense drivers are the costs of the transition services agreement with Thomson Reuters and new employee growth to support the Fundamentals collection operation. The guidance for capital expenditures net of landlord contributions remains unchanged between $32 million and $38 million. Overall our first quarter was strong. Earnings per share rose 26% and we continue to grow our business at a pace many companies would envy. Nevertheless it’s clear the overall macro environment has deteriorated since our last earnings call. Challenging times create opportunities for companies that are prepared to lead and we believe FactSet has the product strength, management discipline and financial clout to take advantage of opportunities created by this period of uncertainty. We’re optimistic that we’ll manage through this period and emerge an even stronger company for three simple reasons: First. FactSet’s product suite has improved drastically since the last downturn in 2001. Products such as Marquee, IBCentral, FactSet Wireless, FactSet Fundamentals and FactSet Estimates have greatly enhanced our ability to offer clients and prospects a cost saving while consolidating services on FactSet. Our sales force can help clients cut costs and drive new revenues in a way that wasn’t possible in the early part of this decade. Second. Our management team has been tested and has guided this business through very challenging times in the past. Employees with the Top 50 job functions have worked here at FactSet for an average of 13 years. We expect that their time-tested experience will enable us to operate effectively in this market place. Third. Our company has a strong balance sheet. We have the financial flexibility to invest in growth while many of our competitors will do just the opposite. We believe that the bottom line is that FactSet is well positioned to compete and grow during a challenging and uncertain time. This is when strong companies get stronger and we intend just to do that. We’re now ready for your questions.
Operator: (Operator Instructions) Our first question comes from Kevin Doherty - Banc of America Securities.
Kevin Doherty - Banc of America Securities: I know there continues to be concerns there just about the lag affect from the job losses, the cost-cutting efforts with your customer base. I’m just trying to get a sense of how much of that impact you think has really worked its way already with your business and how much catch-up is left? I’m just trying to get a sense of how you get comfortable in this environment.
Philip A. Hadley: I guess there are a couple different ways to answer the question. You can look at our business over the last cycle or you can look at it over the different parts of our business. In the last cycle, depending on where you pick the start date but it doesn’t really matter, we were negative a couple thousand seats in the first 12 months of that cycle. So far we’ve actually been positive a couple thousand seats in this cycle. I think that’s certainly a testament to the fact that our product is positioned differently and provides a different solution than it did in the last cycle. If you look at the sell side of our business, they’ve been really in a challenging environment for more than a year now and with the exception of mergers, which is something that is really a macro effect that we don’t have any control over, the population’s really been quite stable over that period of time. If you look at the buy side, I think that as we look at that population there have been a lot of headlines where similar major firms have laid off a significant number of employees. From what we can tell it doesn’t seem to affect our user count as much and I think that has to do with the fact that our user count is with the financial professionals who are actually tied to the assets in those firms so that if those professionals are laid off that those assets with those firms become at risk. I think that our positive user count over the last 12 months is a sign of our strength as well as what we see coming forward as well.
Kevin Doherty - Banc of America Securities: How do you think about the revenue per user trends going forward? I know just by definition if your new users slow, they’re not coming in at those lower price points and that metric should continue to kind of tick up. But what are some of the other drivers there? I know when we just think generically about Marquee it seems like a product that customers can easily switch into, there’s not a lot of incremental cost but maybe that could eliminate a cost from one of your competitors. I’m just trying to get a sense of drivers of revenue per user and what products are actually contributing to that increase?
Philip A. Hadley: There are two parts to revenue per user. If you’re taking our total ASV and our total number of users, there’s the actual margin cost for the client for the seat that they purchase which is roughly $6,000 worldwide. Obviously if we had a very strong quarter in seats, the average revenue per user would go down just because they’re coming on at that rate and our average revenue per user as divided by total ASV is a much higher number. The other components obviously are the additional products we sell. So we’re really in the business of selling content and access to content; some of it is our own and third party; and then the business of selling applications, portfolio analytics being the largest in that family. As you can see portfolio analytic seats were up in the quarter even in a very challenging environment. It’s a metric internally that we really don’t spend much time focused on. We really focus just on the quantity of seats, the quantity of clients and total ASV and spend very little time with the ratios in between.
Kevin Doherty - Banc of America Securities: The specific products that would be maybe driving your wallet share?
Philip A. Hadley: Marquee and PA continue to be great drivers for us on the application side but FactSet content all the way across the entire suite is doing very well and helping drive that as well.
Kevin Doherty - Banc of America Securities: When we look at your cost structure the SG&A growth slowed down to about 9% this quarter so clearly well below the 16% revenue growth. Should we think about that same type of a relationship going forward in which there’s a meaningful delta between those two metrics?
Peter G. Walsh: As far as our overall expense base, we’re really managing at the total operating income level. We’re really managing our expenses for our operating margins to be flat and again when I say flat, I mean flat with Q1’s total. Currency obviously was a factor that reduced the overall SG&A expense and the currency rates really came back down to there they were two years ago. The reduction in the strength of the US dollar has essentially reduced our expense base as we view it going forward.
Kevin Doherty - Banc of America Securities: We should think about less of an impact from your internal cost saving efforts and that it’s been more of an fx benefit?
Peter G. Walsh: A company of our size always has opportunities to make improvements on how we spend our own capital internally on expenses and we’ve been focusing those in all environments and especially today. But if you looked at the main factor in Q1, there was a $2.1 million improvement in operating income from currency and that was [inaudible].
Operator: Our next question comes from Randy Hugen - Piper Jaffray.
Randy Hugen - Piper Jaffray: To kind of continue with the margins, you guys have traditionally reinvested in the business and kept the margins flat. Is there a chance that if revenue growth slows, you might cut back on the reinvestment and maintain your earnings growth above revenue growth? Also what kind of level of top line growth do you feel that you need in order to maintain margins going forward?
Peter G. Walsh: Our game plan right now is to keep our margins flat. We’re still a company that’s willing to invest in future growth. FactSet Fundamentals would be an example of that. Certainly our 2009 headcount plan shows positive employee growth. We’re still confident that the ASV that’s growing at today’s rates and the revenue growth that it’s throwing off that we’ll be investing more in the future growth of our business. If different circumstances present themselves in the future, then we’ll certainly react accordingly to provide our shareholders the best long-term return on the capital deployed.
Philip A. Hadley: Currently we’re basing our investment plans on flat operating rates.
Randy Hugen - Piper Jaffray: Are price increases still on the table? And how do you think the stronger dollar’s going to impact international sales?
Philip A. Hadley: On the price side we will be executing a price increase in Q2. Like last year the impact on ASV was a positive $6 million. We would expect that it would be of a similar size. That’s already been communicated to clients. The feedback was minimal which really indicates to us that we have meaningful pricing power.
Peter G. Walsh: As for the second part of your question, I don’t think we’ve really noticed both a pickup in demand when the dollar was weak as well as a falloff in demand when the dollar is strong on international sales. I would expect international opportunities to stay a constant.
Randy Hugen - Piper Jaffray: Obviously most of what we’ve heard out of the buy side so far has been more to do with operational people but now we are starting to hear some pending rumors on actual analyst cutbacks. Is this something you’re hearing from clients and how would a sizable reduction in headcounts in investment professionals with the clients impact your results?
Philip A. Hadley: As I mentioned before, the marginal cost for a FactSet work station is $6,000. That’s not the average cost so on the margin a 1% reduction in users is not a 1% reduction in our subscription value. I think one of the great things about FactSet’s business model is that we are a subscription business and the visibility of our revenues are cleaner and very easy for us to use as professional managers and very easy for investors to react to as well. In this environment we’re clearly one of those services where our clients fine-tune their services daily. Some are growing in this environment and some will be shrinking but I think that we’ll have a very strong positive story as we come through this cycle.
Operator: Our next question comes from David Lewis - J.P. Morgan.
David Lewis - J.P. Morgan: Peter, you cited that the exposure to Merrill/Bank of America that you guys mentioned last call was under 1% of ASV. I just wanted to confirm that because that would be less than $6 million. You guys are estimating now it’s going to come in under $10 million? Is that fair to say?
Peter G. Walsh: The words I used were significantly less than 1% of ASV.
Philip A. Hadley: The $10 million was for the combination of the four of them.
David Lewis - J.P. Morgan: Could you provide a little bit of color of penetration of Marquee on the buy side? It’s obviously something that’s taken off since the introduction of the upgraded platform there and that’s fueling growth right now. Could you just give us a sense for how big the opportunity on the buy side still exists? I know it’s substantial but a little more color there would be helpful.
Philip A. Hadley: I would characterize the growth as explosive. The charts that we have internally that monitor its penetration both in availability to the client as well as just in the usage at the end user level would be explosive. It certainly still has huge opportunity left through the current client base as well as future users within our current clients.
David Lewis - J.P. Morgan: Can you give us a little bit more color on the international business? It’s obviously doing very strong. The penetration there is a lot less than it is in the US. Do you expect it to hold up as well as it has going forward?
Philip A. Hadley: The client opportunity in our market penetration outside of the United States I’ve always believed that our business is a 50/50 business. I think the opportunity in the United States is 50% of the opportunity versus the non-US. At the non-US we’re 32% at this point so it’s gained some share over time. I would characterize the international business as one that’s definitely a market-by-market business, meaning that what’s happening in Asia isn’t necessarily what’s happening in Europe and even within Europe there are different markets there. But overall the opportunity for us there is still substantial and I believe it to be a greater-than-US potential for us as far as growth.
David Lewis - J.P. Morgan: When do you guys mute going through the existing client base and presenting them with FactSet Fundamentals? When does that cycle? How long are those contracts for where somebody might be using [Copycat] or Worldscope? And then can you give us a little bit of sense on what the win rate has been thus far?
Michael D. Frankenfield: When we’re out selling FactSet Fundamentals there are lots of considerations. There are contractual issues that we need to work through and we sit down with clients and analyze the contracts and figure out migration plans, and there are conversion issues. It requires a lot of our consulting resource to successfully convert clients to using FactSet Fundamentals. Overall the entire process I would say is exceeding my expectation. We’re making great progress and look forward to a lot more conversions.
Operator: Our next question comes from Jonathan Maietta - Needham & Company.
Jonathan Maietta - Needham & Company: Phil, I was just wondering if you could comment on how you think about allocating resources in the sales force with regard to the US market opportunity versus international if pockets of international are growing a little bit faster? Will you reallocate more resources there going forward over the next couple of quarters or how do you think about that?
Philip A. Hadley: We actually have a very sophisticated headcount allocation internal product that we’ve created that spreads our business across content, software, sales and consulting, and allows us to change our allocation at headcount based on where we think the pockets of opportunity are. So clearly in a cycle like this you’re always fine-tuning the models that produce the best return for the company but we have the ability to invest in a particular country, region or a particular product. Inside of FactSet there are certainly products that are stable or flat for this year and there are certainly products that have substantial growth in investment. To more particularly answer your question, on the non-US side we monitor those staffing levels to match the opportunity. We’ve certainly grown the staff heavily over the last three years and some markets will grow more than others. But we feel very comfortable that we’re well positioned to take advantage of the current opportunities.
Jonathan Maietta - Needham & Company: Peter, just to piggyback off that margin question when you said that the plan is to manage that flat. Is that for the fiscal year or is that in perpetuity? What’s the time horizon associated with that?
Peter G. Walsh: The reference was I was using flat margins was what our margin was in Q1. Why we’re excited about that is obviously that our margins improved Q1 year-over-year by 150 basis points.
Operator: Our next question comes from John Neff - William Blair & Company, LLC.
John Neff - William Blair & Company, LLC: Peter, could you refresh us on what percentage of what total ASV or revenue is from soft dollar arrangements?
Peter G. Walsh: That percentage is approximately just slightly below 25% of the total.
John Neff - William Blair & Company, LLC: Can you give us a sense of what the ASV for the Fundamentals subscriptions are at the end of the quarter? If it’s $0.8 million in revenue, should we assume it’s about $3.2 million in kind of an ASV run rate?
Peter G. Walsh: I think that’s very fair math.
John Neff - William Blair & Company, LLC: I think Mike you had mentioned part of the conversion process there for moving people to the FactSet Fundamentals offering was the existing contractual arrangement that the client would have. Is there a typical period? Is there a calendar fourth quarter renewal period typical for a lot of those customers that we might see a pickup in that ASV for you guys heading into this next calendar year?
Michael D. Frankenfield: It’s probably weighted a little bit towards the fourth quarter but overall the contracts are spread out all over the entire calendar quarter.
John Neff - William Blair & Company, LLC: Peter, there was a sequential decline in goodwill of about $12 million?
Peter G. Walsh: That was revaluing the goodwill at base currency rates. All of that decline goes through equity because our functional currency’s the local currency.
John Neff - William Blair & Company, LLC: You talked about the opportunity as part of the sales pitch and how you guys are managing to grow in an environment and I think a lot of people are scratching their heads as to how that was possible this last quarter. Can you walk through maybe a hypothetical pitch to a client that maybe is a partial existing FactSet user or maybe they have some other system as to how you’re going to go about saving them money by consolidating on the FactSet platform?
Michael D. Frankenfield: If you’re talking about a current client, it’s certainly an environment where people are sharpening their pencils and looking for opportunities and I think it’s one where you have to wind the clock back and position FactSet where it was five years ago. Five years ago we didn’t really have a news and quotes product so that entire functionality inside of a firm was a market place we weren’t even participating in. Five years ago we really didn’t have any content that was able to displace content in the market place. Today if you’re a buy-side firm, we can offer you fundamentals, estimates, broker research, call transcripts and petitional voting and really provide them with a huge opportunity to go through and rationalize on which platforms they want to receive that content and which content works best for them. So we’re still in the business obviously of distributing other players content but we certainly are trying to be competitive with ours as well. But you combine the content offering with the Marquee news and quotes offering and it really puts us in a very strong position in the buy side. In terms of the sell side, the same thing exists. If you went back to five years ago, we really were in the business of distributing prices, estimates and fundamentals through just corporate financing. Today if you look at the breadth of content that’s available to those firms and what they can do with that content both in the equity research department as well as in the corporate finance department, it’s a much broader solution and allows them to really scale FactSet and get a lot more for it. I think that’s really the cost savings part of it. On the new clients we still sold many new clients. We only record on a net client basis today but one of the emails that I sent out this quarter was to a sales person who closed a client in Colorado. It was one that I personally had tried to close 20 years ago and I was congratulating the person on succeeding where I had failed. Just a typical FactSet client managing tens of billions of dollars; a great opportunity for us; will come in at a below average client size but almost guaranteed based on our product lines over time to grow to triple or quadruple its size in a reasonable period of time. We have lots of successes in the market place. It’s just a one-by-one battle at the user level and a one-by-one battle at the client level. We still have thousands more clients to sell and hundreds of thousands more users. Certainly as a firm we can’t control the market but I don’t think it’s a surprise to anyone that the last quarter was unprecedented certainly in my career. We certainly can’t control when things are going to turn around but we can focus on a lot of things we can control and ultimately we’re there to help and be partners with our clients and provide productivity solutions.
John Neff - William Blair & Company, LLC: You mentioned the content opportunity. You guys have never broken out what the ASV for proprietary FactSet clients is but is it safe to assume that there has been some pretty hefty growth there even excluding the Fundamentals initiative and is that something that we should think about as something that could help support the operating margins going forward?
Philip A. Hadley: It is definitely a growth driver for us. It’s an interesting one. The content business as you can see with the Fundamentals business, in the beginning it is not a very profitable business but once you finely get scaled it’s turned into a wonderful business. Some of our content sets are more mature and systemically contribute very positively to our margin. The younger ones you work to get them to that point.
Operator: Our next question comes from [Eric Rittener - George Weiss Associates].
[Eric Rittener - George : Can you break out the number of new clients and users that you got from adding Thomson Fundamentals?
 Associates]: Can you break out the number of new clients and users that you got from adding Thomson Fundamentals?
Peter G. Walsh: We don’t have that detail and it’s probably not something we would ultimately disclose in that level of detail.
[Eric Rittener - George : Can you discuss the decline that you saw in deferred fees?
 Associates]: Can you discuss the decline that you saw in deferred fees?
Peter G. Walsh: As far as deferred fees, I think the decline there is that there are some clients that pay us in advance of the year and they do that throughout the year. As the year comes to a conclusion they’re just working those deferred fees off of our monthly service. I wouldn’t attribute it to any significance or change in the business at all.
[Eric Rittener - George : I’m just having trouble understanding how the cuts that we’re seeing of large buy-side clients even announced since the end of the quarter won’t affect your ASV in the future. Can you help me just try to understand that dynamic?
 Associates]: I’m just having trouble understanding how the cuts that we’re seeing of large buy-side clients even announced since the end of the quarter won’t affect your ASV in the future. Can you help me just try to understand that dynamic?
Philip A. Hadley: I guess I can articulate it this way. The one thing about FactSet is you get to see a real time view of our ASV. Those cuts occurred in our fiscal quarter so if those were users of FactSet, they’re gone and they’re not in our ASV and would not show up in our user count. Certainly the health of our business whether it’s buy-side or sell-side, I would certainly prefer a tailwind than a headwind but what you’re seeing really is a gain in share at the user level. There’s really no other explanation for it.
Operator: Our next question comes from [Shane Dineen - Pershing Square].
[Shane Dineen - Pershing Square]: I just had a clarifying question on the revenue guidance that you’ve given and one of the previous questions. Somebody asked about what you expected next quarter from pricing. Does that $156 million to $159 million guidance include the $6 million of pricing increases?
Peter G. Walsh: It does.
[Shane Dineen - Pershing Square]: I’m looking back over your historical client numbers. Can you confirm that this was the first time I guess in the last decade where the amount of clients you had declined sequentially?
Philip A. Hadley: I just want to make sure I clarify that price increase. The price increase that Peter was talking about is an ASV number, an annualized number. So you’d have to divide that number by 12.
[Shane Dineen - Pershing Square]: So it’s $1.5 million and the $156 million basically.
Peter G. Walsh: That would assume that we did it on December 1, which is not when it’s effective. It’s affect in the first quarter is actually two months of the $6 million.
Philip A. Hadley: As far as the net client count, you might be right. It’s one where I’ve been here for almost 24 years at this point. I would have to say that in probably ‘90/’91 we went negative client growth but we weren’t a public company back then. I’d have to say before that our records weren’t clean enough to be able to break things out on a fiscal basis to know exactly where we stood.
[Shane Dineen - Pershing Square]: But during the last downturn you never had a sequential decline in clients; is that right?
Philip A. Hadley: No. Honestly it’s not surprising to me. I would certainly believe that our buy side clients and our sell side clients had much more on their minds than making a purchase decision in a fiscal quarter like this for us. The first fiscal quarter is kind of an odd quarter in this industry anyway because many of the decisions start to move to become January decisions so it’s really not that surprising to me that it happened this quarter.
Operator: Our next question comes from Anne Griffin - Aragon Global Management.
Anne Griffin - Aragon Global Management: On product and pricing, Bloomberg is putting a lot of free applications on its platform at a fixed price. I’m thinking of things like events and some additional earnings estimate functions. Has that had any impact on the way that you’re pricing things or have you seen any cancellations for some of the additional features on FactSet as a result? This is a fairly new policy so you may not have seen anything yet.
Philip A. Hadley: Bloomberg’s product is a one-price-fits-all price [inaudible] product so every time they enhance functionality it’s really free by that definition though it’s a very expensive terminal. FactSet has roughly 600 people in the product development software side of our business. We create new features for our clients every single day. Sometimes it’s new content features. Sometimes it’s new application features. That specific event that you mentioned, the transcripts and events actually come from FactSet so it’s a nice revenue stream for us. It’s actually a positive.
Anne Griffin - Aragon Global Management: Do you happen to know what percentage of your users are also Bloomberg users?
Peter G. Walsh: I’m not sure I have that number off the top of my head. Bloomberg has roughly 280,000 terminals. We have roughly 40,000 terminals. I’m sure there are some that overlap.
Operator: Our next question comes from David Lewis - J.P. Morgan.
David Lewis - J.P. Morgan: I just wanted to dig a little bit deeper in terms of the average contract on the buy side. If you consider that the average contract is in the service fee, data, PA and the non-PA users, it’s fair to say that if you have a non-PA user that’s dropping off and that’s $6,000, the other components of the contract, the service fee and data fees in many cases are going to stay where they are. Is that accurate?
Philip A. Hadley: Do you mean if they’re just reducing a user?
David Lewis - J.P. Morgan: That’s right, yes.
Philip A. Hadley: Correct. It’s a very frontend loaded product from that respect.
Operator: I’m showing no further questions at this time.
Philip A. Hadley: Thank you very much.
Operator: This does conclude today’s conference. You may disconnect at this time. Thank you for your participation.